Yoshimichi Maruyama: [Interpreted] Hello. My name is Maruyama from Seven & i Holdings. I appreciate for your great understanding and support to our group.
 But before I start the presentation, allow me to extend our deepest sympathies and condolences to all affected by the recent earthquake at Noto Peninsula this year. At Seven & i Group, we have been working on various measures in cooperation with franchisee stores, local residents and the government, including merchandise supply, securing logistics, providing emergency relief supplies. We're conducting in-store and online fundraising and our employees are also working to support local recovery efforts.
 All our 7-Eleven stores in the affected area, in spite of the great difficulty they face, have been able to resume operation with the cooperation of franchise owners and their members at 9:30 a.m. as of January 6. We will further work together with all parties involved for recovery and reconstruction effort as part of the social lifeline prioritizing human life and safety at the top of our list.
 With that, I'd like to introduce our results for Q3 FY 2023. So please turn to Slide #2. Here, we have our executive summary. First, FY 2023, Q3 year-to-date operating income achieved a record high. And we've continued to grow -- we're continuing to centered on Domestic and Overseas CVS operations in response to changes in the external environment. We are looking for our customer traffic as well as price policy with quality offering in the Domestic CVS. And we are also working to provide a proprietary products amidst a difficult external environment in North America convenience store. And for the drastic transformation of Metropolitan SST business, we are making steady progress to achieve the target for FY 2025.
 And so I'd like to go into details, which is on Slide 3. This is today's agenda. Within the major business, we will be asking Mr. Stan Reynolds, President of SEI, whom you have been able to hear earlier on in regards to North America convenience store business. And otherwise, I will be giving the presentation.
 And with that, I'd like to go over the Q3 results. Please turn to Slide #5. Here, we have the highlight for Q3 consolidated results. Operating revenue marked JPY 8,580.2 billion, which was 97.2% versus last year and plus JPY 183.2 billion versus initial plan. Operating income marked JPY 410 billion, which was 103.8% vis-a-vis last year, plus JPY 18.3 billion versus the initial plan. Operating income marked another record high. As for net income attributable to owners of parent, we marked JPY 182.1 billion after recording extraordinary loss due to sales of Sogo & Seibu sales, which is 76 -- 77.6% vis-a-vis last year and 78.1% versus the initial plan.
 However, as for the actual base figures adjusted for the impact of sales of Sogo & Seibu and Barneys Japan, we have been able to achieve JPY 247.8 billion, which is 105.6% versus last year. We have been able to steadily gain power to earn profit. The FX impact from weaker yen was plus JPY 16.4 billion to the operating income.
 Please turn to Slide #6. On this slide, we go over operating revenue, operating income as well as EBITDA. We showed the comparison versus last year. As for the operating income, I'd like to start with Overseas Convenience Store business. This operating income found a decline in Q1 this year due to some of the record high fuel CPG last year. However, we have been able to find an increase from Q2 and onwards vis-a-vis last year, helped by some tailwind from FX. For Domestic side, we find that Domestic Convenience Store business is becoming a growth driver of the overall performance. As for our Financial services, we have booked one-off expense to adapt for new bank notes in Q3. And we've also found an increase in depreciation due to TS-related investment. And so therefore, we found the decline in Financial Services as well as elimination and corporate. As for EBITDA, we have been able to find a growth driver from convenience store business, Domestic and Overseas marking increase by JPY 40.7 billion on a consolidated basis.
 On Slide 6, we find a segment per segment figure versus our initial plan. And you can see that we have been able to mark an increase versus better result versus our initial plan for operating profit, EBITDA and all items except for EBITDA for Superstore business.
 For Slide 9, we look at some of the main factors for the revision of the consolidated forecast. For the revision this time, we're looking at the current situation of 7-Eleven Japan as well as the fuel sales volume of 7-Eleven, Inc. as well as merchandise sales. And so therefore, we are going to be revising our operating revenue. When it comes to operating income and recording income and other profit below that, we're going to keep the previous figure.
 And as for EPS, there has been some slight revision due to some buybacks as well as impacts from elimination. And so therefore, the operating revenue for the 2023 consolidation, this is going to be revised to JPY 11,482 billion, which is 97.2% versus last year; and operating income JPY 525 billion, that is 103.6% versus last year. Net profit, JPY 230 billion, which is 81.9% versus last year. The adjusted net profit is JPY 295.6 billion, which is 105.2%. This is a steady growth.
 Next page shows a per segment details for the consolidated forecast. We have been able to revise upward figures for 7-Eleven Japan by 7 -- JPY 6 billion, while revising down 7-Eleven, Inc. profit by JPY 9 billion. And the variance is JPY 3 billion, which is absorbed by elimination and corporate, that's keeping -- that's enabling us to keep our total operating income.
 Next, I will turn to Slide 11. And from here, I will be going over the current situation of our main businesses and their strategy. We will start with North American convenience store business.
 And so today, Mr. San Reynolds, President of SEI will be able to explain the details, please? 
Stanley Reynolds: Thank you. First, I'd like to walk through the current situation on the macro environment and the consumer. Although inflation headline -- our headline inflation is now cooling in the U.S., it remains well above the 2% Fed target. Consequently, interest rates are projected to stay elevated for longer. The U.S. C-store industry has been disproportionately impacted by historically high inflation with industry direct store operating expenses, having grown at approximately 2x the rate of CPI in 2022.
 In 2023, inflation strained consumer finances with personal savings rates falling to 4% from a prepandemic level of 8.3%. Over 60% of Americans are now living paycheck to paycheck, notably impacting low-income groups. As a result, we see consumers taking on more debt as evidenced by the highest credit card debt since 2009, crossing $1 trillion in the third quarter. With elevated interest rates, paying off debt has become more expensive.
 Next slide. These macroeconomic challenges and changing consumer behavior have impacted SEI. Like other retailers, SEI saw softening sales and traffic over Q3 and into Q4. Next slide. With respect to fuel, in 2023, we cycled historic 2022 profits. However, fuel GP dollars for Q3 year-to-date are the second best ever, only surpassed by the record high of 2022. Margins have been resilient and fuel volume in line with the industry.
 Next slide. So while the consumer environment is challenging, SEI has shown resilience when faced with similarly challenging periods over the past 20-plus years with consistent growth even during the dot-com bubble, the great recession and COVID. Our response to this environment is three-pronged. First, immediate focus on driving traffic, particularly increased focus on value offerings. Second, taking costs out of the business. This includes reducing cost of goods, which will allow us to increase value being offered to customers and also reduce our operating expenses.
 So just to repeat, 3-pronged approach to respond to this environment. First, we're focused on immediately driving traffic, particularly a focus on value offerings. Second, taking costs out of the business. This includes reducing our cost of goods, which will allow us to increase value being offered to customers and also reduce our operating expenses. And then third, continuing to invest in our long-term strategic priorities.
 So on this slide, you can see our long-term key strategic priorities: first, growing proprietary products. This includes growing our fresh foods and restaurants, building an enhanced value chain, driving proprietary beverages and expanding private brands. Second, accelerating digital and delivery, including 7Rewards loyalty programs, digital programs, including mobile and self-checkout, 7NOW delivery and our retail media network. Third, generating synergies from the 7-Eleven speedway integration; and fourth, growing and enhancing our store network through organic new stores and M&A. Today, I'll be highlighting a few initiatives within each of these key priorities.
 Next slide. So let's talk a bit more about our goals within the first key priority, grow proprietary products. Our goal is to increase the mix of our fresh food, proprietary beverage and private brand offerings to 34% of merchandise sales by 2025. This is a big opportunity for SEI to: number one, grow sales; secondly, to expand margin as proprietary product margins average mid- to low 40s versus national brand margins in the low 30s. And three, further differentiate and strengthen our product assortment, which is a key competitive advantage. To facilitate this goal, we are directing investments toward developing innovative, high-quality items across our fresh food and proprietary beverage programs.
 Furthermore, strategic investments are underway to enhance our value chain with a focus on scaling volume at our Virginia commissary, alongside planned expansions in Texas and Ohio. We have plans to augment our private brand portfolio by adding over 200 new items in 2024, while we remain dedicated to continuously enhancing the quality of our core items.
 Next page. To support our proprietary product growth, we are transforming our value chain, which currently consists of 17 commissaries and 16 bakeries. We are partnering with Warabeya and leveraging their expertise and advanced cooking capabilities to drive quality improvements and innovation in both the Texas and Virginia facilities. We've seen great success in the Warabeya commissary in DFW as it is contributing 10.4% higher sales to the entire fresh food business in comparison to the rest of the United States.
 We also launched the Warabeya Virginia commissary in September of this year as our first full capability facility to continue to build a strong value chain. Using team merchandising, we're developing great regional products such as the chili bean rice bowl and the lone star and old bay sliders. We're also partnering to create new exciting platforms like our rice balls and entree meals, including chicken curry rice and fried rice with orange chicken. These fresh food items will allow us to deliver on customer expectations for innovative, high-quality food products.
 Next page. With our proprietary products high in demands, we plan to expand our key food programs, including rollout of hot food cases, bake-in store and CDC commissary service to Speedway stores in 2024. We continue to improve our assortment focused on value, quality and innovation. Through value products and regional assortment, we're able to bring specialty and exclusive products to our customers like improved ice coffee and new national brand flavors.
 Switching to private brands. Private brands remains a key strategic priority to deliver high-quality, differentiated products with a value to customer and a better margin and [ penny ] profit to franchisees and stores. Private brand margins are a 54% category versus 32% for National brands, so a 220-basis point difference. We introduced over 130 new items in 2023 and plan to grow 200-plus items in 2024.
 Next slide. Our third strategic focus is to accelerate our digital and delivery programs. Customers are seeking value and leveraging loyalty programs to find it. And we're seeing this trend in SEI's loyalty programs with industry-leading sign-up rates, continued growth in membership and increasing scan rates. This is great news because industry data shows that loyalty members spend more. And at SEI, the top 3% of loyalty members visit our stores 20x more than non-loyalty customers. Not only are customers seeking out loyalty programs but they demand for delivery continues to grow. Customers, even in the current economy seek out delivery for their weekly routine.
 We saw a strong 7NOW performance in 2023 with an average of $250 per store day in sales. We project 7NOW as a $590 million business in 2023. So that's up about 32% with plans to grow to $1 billion by 2025. We will build on this momentum as we are a leader in the C-store delivery space, allowing us to own delivery for immediate consumption.
 Next slide. Our integration efforts have resulted in synergies that are exceeding target. Year-to-date, September 2023 synergies totaled $735 million ahead of plan and on track to outperform the $800 million target. 4 major areas of synergies, including growing merch sales and margin, leveraging scale and cost leadership, expanding fuel logistics and growing digital. We have seen both merch sales, APSD and margin grow in Speedway stores and for overall 7-Eleven.
 And we believe there's a huge opportunity for further growth through the rollout of our proprietary store and fuel point-of-sale systems Risk 2.0 Index. The rollout of Risk 2.0 Index is essential for us to fully implement our merchandising strategy and enable retailer initiatives. We'll also standardize our technology, reporting and operations across the entire network and the back-office support systems. We plan to substantially complete the rollout of Risk 2.0 Index to Speedway stores in 2024.
 Next slide. So I'd like to talk now about our fourth strategic pillar, growing through new store builds and M&A. 7-Eleven has a successful track record over the previous 18 years of delivering significant growth through M&A, including Speedway in 2021 and Sunoco in 2018. We have acquired over 7,000 stores to drive a growth of CAGR of 5% plus. These acquisitions have returned over 15%. ROIC with merchandise sales growth of over 31% and merchandise margin improvement of over 200 basis points through the end of December 2022.
 Next page. Unlike Japan, the U.S. C-store market is still highly fragmented. 7-Eleven is the leader at only 8.3%, and there were over 90,000 stores that are comprised of chains of 1 to 10 stores. This presents a significant acquisition opportunity for us. Our seasoned M&A team has a dedicated process for reviewing and prioritizing opportunities. Just before this call, we announced the acquisition of 204 Stripes branded stores from Sunoco. Completing the purchase of the Stripes stores we could not acquire in 2018 has been a top M&A priority for us.
 As you can see from the map, this opportunity is highly complementary to our current store base in Texas, Oklahoma and New Mexico. This is the completion of our 2018 acquisition from Sunoco and will bring the remaining 204 Stripe stores and 123 Laredo Taco restaurants under our operations.
 Next slide. The acquisition of these Stripes stores will be an asset acquisition to include all of the real estate and related assets. It will include a base purchase price of $950 million and will drive bottom line operating income and EBITDA. By year 5, we expect these stores to be producing almost $110 million in store level 4-wall EBITDA and over $90 million in operating income, which would make this deal an 8.7x multiple.
 Next page. These stores are a natural fit into our geography and store system because we already operate all the other Stripes in Laredo Taco Company stores. These are very strong assets with large format stores and fuel forecourts. It's also a strong real estate portfolio with 68% of the fee of stores be owned. As we have seen in the 2018 Sunoco transaction, we believe there are significant opportunities to bring 7-Eleven's merchandising and business system to drive top line growth in merchandise sales and merchandise margin. We will leverage our proprietary fresh foods and beverages and private brands to increase and improve the product assortment. Additionally, we will be able to bring our leading 7Rewards loyalty program and 7NOW delivery to these stores that have little digital and delivery offerings today. 
Yoshimichi Maruyama: [Interpreted] Mr. Reynolds. Thank you very much for that. And now this is  Maruyama speaking again. And I would like to continue with the presentation. Please turn to Page 26. First of all, this is the external environment in Japan, and it is the trend in price index. 2023 saw a rapid downturn in PPI. While PPI growth rate was reversed by CPI in September and downward pressure on price weakened, as shown on the graph on the right, for food, price remains high at a high level. Consumer appetite for shopping is dampened with high situation with more defensive spending patterns. And especially from September to November 2022, food prices soared and still remain high this year.
 Please turn to Page 27. Let me cover 7-Eleven in Japan on the following pages. Graph on the left shows merchandise existing store sales growth rate in orange and change in GPM in green. As shown in the previous slide, with heightened defensive spending patterns on the back of rise and prices and impact of increase in sales due to unit price increases have run its course. And as a result, same-store sales for Q3 was up 2.1%. 
 In the meantime, with the introduction of high value-added products and initiatives that brought together merchandise development and marketing improved gross profit margin by 0.4%. The graph on the right shows changes in franchise stores profit by deducting SG&A, including salaries and wages from gross profit. As you can see, profit of franchise stores are steadily increasing.
 Please turn to Page 28. Turning to all store sales. Orange bar graph shows APSD, and the line graph shows index change with each quarter of fiscal year 2019 as 100. In October, I explained that this exceeded JPY 700,000 for the first time since the founding of the company. And what I'd like to emphasize today is that while there was a dip in 2020 and '21 due to COVID, the decline was actually smaller than our competitors as shown in lighter dotted lines.
 The recovery in 2022 was robust, and our strong position has not wavered. This is because of our continued efforts to understand the changes in consumer preference and change our merchandise and stores accordingly. Business performance tend to be discussed in terms of year-over-year change. But since the changes we experienced in the last few years due to COVID were so significant. In order to have a better comparison with before COVID, we are showing changes over a relatively longer time frame. And going forward, we will implement measures to increase average spending per customer and to increase traffic to our stores, thereby, we seek further growth.
 Please turn to Page 29. Openings and store strategy of 7-Eleven Japan. In the past, we adopted a dominant strategy of aggressively opening new stores and the KPI had been more quantitative focusing on operating income, for example. However, after fiscal year 2019, we have shifted to focus more on focusing on management, paying attention to capital efficiencies, such as ROIC and applying strict criteria on store openings and closing of unprofitable stores in direct stores.
 During COVID, and we had to have a good eye and discerning eye on the changes of purchasing behavior of customers and location conditions. And we have been quite cautious in opening new stores. Starting from this fiscal year, we have focused on investment efficiency and revised our opening criteria and setting a opening strategy by area, improving quality as well as focusing on the growth -- continued growth. And the aging of the population is seen as an opportunity for growth. So we will reaccelerate the opening of new stores in fiscal year 2025.
 Through these initiatives and combined with sustainable growth and the growth for store openings, as you see on the bottom right, the graph in green shows special losses due to store closings. You can see that this is steadily decreasing and net income is steadily improving. We believe that it is possible to achieve sustainable growth in combination with growth from store openings.
 Please turn to Page 30. Metropolitan area, Superstore business operations that are undergoing fundamental transformation. Q3 year-to-date EBITDA, JPY 7.6 billion and which is 110.3% year-over-year or 98.2% versus the initial plan. Ito-Yokado in the third quarter, because of the warm winter, sales of fall and winter products were below plan, and this has had an impact. With regards to various initiatives related to fundamental transformation, some of those will take time to see fruit. Therefore, we cannot see any notable changes. However, actions that are needed to generate value are being executed, which I would like to cover on the following slide.
 Page 31. This is a slide that we presented in October last year on fundamental transformation road map. SG&A reduction and the productivity improvement. Exiting from apparel business and focusing on food and focusing Ito-Yokado in high population density areas. These are initiatives that have been put in place. In the meantime, in order to increase sales and profit -- the margin improvement, we have leveraged strategic investment infrastructure such as process centers and central kitchens and rolled out food and drugs as well as introducing self-cash registers -- self-checkouts.
 As of November, out of the approximately 2,500 initiatives for transformation initiatives that are required to generate value have been executed, which accounts for about 245, and this is 101% in progress against plan but we will step up our effort in order to improve our situation. With regards to how we are doing with these initiatives at the earnings briefing, which is scheduled for the end of April, we will give you an update on where we are in terms of major KPIs and milestones. Please stay posted.
 Next, with regards to the Strategy Committee update, let me give you an update. First of all, I will be repeating myself. But as was announced on 9th of March last year, the Strategy Committee composed of all the group's independent external directors, and it is focused on maximizing enterprise value and thus the shareholder value. And it is an advisory organ. And in order to achieve this objective, objectively assess and monitor Group's key strategy, strategic initiatives and optimal group structure for the sake of the objective is being conducted.
 Since March 2023, the Strategy Committee has met more than once each month with support from independent third-party specialists and it has made many recommendations to the Board. And this strategic -- Strategy Committee has also taken into account feedback from our investors and shareholders. With regards to major agenda and discussion items at the committee, it is as -- shown on the slide, it is quite diverse. The most important factor, which is important for the group growth, which is the CVS business -- Global CVS business, and we have had a lot of discussions regarding the strategy, and it has provided a very valuable advice at the BOD.
 Fundamental transformation of SSD operations and optimal group business structure of the group, communication with shareholders, and IT/DX, among others, the BOD, the Board of Directors has leveraged the advice received from the committee and has led to numerous corporate actions with a sense of speed. Sunoco, West Texas store acquisition that was announced today and 7-Eleven Australia acquisition that was announced the other day. And the fundamental transformation of SSD business, among others, have already been covered today.
 Important agenda for business such as IT/DX strategy, membership of 7iD in Japan and 7Rewards in SEI have reached 30 million and 95 million, respectively. And we are accelerating the provision of new customer experience, focusing on 7NOW as well. from the 2 aspects of improved productivity and improved customer experience, including leveraging of AI, we will seek to further grow and accelerate execution of IT and DX strategies that will be conducive to maximizing corporate value and shareholder value.
 As for next steps, the Strategy Committee has been making recommendations to the management and will continue to do so. And the summary of recommendation by the Strategy Committee will be submitted to the Board for its consideration. And the Board of Directors will seriously and promptly discuss upon receipt of the proposal. And if there is anything that will require disclosure an announcement, we will do so promptly to our investors and shareholders.
 Please turn to Page 33. Our vision is to become a world-class retail group with continued focus on food. And this initiative is going to be led by listening to our stakeholders and by executing our growth strategy. The optimization of our group business portfolio will be conducted stably and with a sense of speed. With regards to our group initiative, we will listen to our shareholders and investors and seek to increase our corporate value over the medium and long term. Your continued support is greatly appreciated.
 And with that, I would like to conclude my presentation. Thank you very much.
 [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]